Operator: Hello, and thank you for standing by Tuniu’s 2024 Fourth Quarter and Full-Year Earnings Conference Call. At this time, all participants are in a listen-only mode. After management's prepared remarks, there will be a question-and-answer session. Today's conference is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the meeting over to your host for today's conference call, Director of Investor Relations, Mary.
Mary Chen: Thank you, and welcome to our 2024 fourth quarter and full-year earnings conference call. Joining me on the call today are Donald Yu, Tuniu's Founder, Chairman and Chief Executive Officer; and Anqiang Chen, Tuniu's Financial Controller. For today's agenda, management will discuss business updates, operational highlights and financial performance for the fourth quarter and fiscal year 2024. Before we continue, I refer you to our Safe Harbor statement in earnings press release, which applies to this call as we will make forward-looking statements. Also, this call includes discussions of certain non-GAAP financial measures. Please refer to our earnings release, which contains a reconciliation of non-GAAP measures to the most directly comparable GAAP measures. Finally, please note that unless otherwise stated, all figures mentioned during this conference call in RMB. I would now like to turn the call over to our Founder, Chairman and Chief Executive Officer, Donald Yu.
Donald Dunde Yu: Thank you, Mary. Good day, everyone. Welcome to our fourth quarter and full-year 2024 earnings conference call. 2024 has been a year filled with achievements and milestones for Tuniu. With the recovery of the tourism market, our business is making steady progress and our profitability continues to grow. On the financial side, in 2024, we achieved our first GAAP profit for the full-year since our listing. On a non-GAAP basis, net income grew by over 70% year-over-year, reaching a record high since our IPO. While demonstrating the company's profitability, we are also needing to share our interim achievements with our shareholders. Therefore, the Board of Directors approved a special cash dividend in March 2025 with approximately $4.2 million allocated for distribution. Additionally, in March 2024, we announced a share repurchase program and have spent over $6.2 million on buybacks throughout the year. In total, we returned approximately $10 million to our shareholders in 2024. For our products, we remain committed to innovation and adapt to evolving customer needs. In addition to continuously upgrading our existing products, we launched new products and a product line such as the Niu Select products to better serve a wider range of customers. Our commitment to self-serve remains strong as we focus on customers' needs and strive to deliver high-quality experiences. We implemented initiatives to improve customer satisfaction rate such as Niu Tour's zero shopping policy for all of its itineraries and a new bundling policy for flight tickets. In terms of channels, we proactively embrace new media and continue to strengthen our large streaming presence. At the same time, we collaborated with more online and off-line partners to serve our customers and strengthen our capabilities in supply chain, products and services. Next, I will provide a more detailed overview of the company's business achievements in 2024. For domestic tours, we saw an increase in demand for private and small group tours, as well as more self-guided tours. In response to this trend, we increased our supply of private and small group tours. Private tours have become a stand-alone category on the home page of the Tuniu app. And our in-house Niu Tour products now feature a significantly larger selection of private and small group tours. For self-guided tours, leveraging the company's accumulated strength in supply chain management, we have further increased the supply of fragmented resources in order to offer more flexible arrangements options for customers. In addition to increasing the supply of stand-alone resources such as flights, hotels and attraction tickets, we have also launched a variety of day tour products to attract more self-guided travelers, who have already arrived at their destination. At the same time, we will continue to leverage Tuniu's advantages in dynamic packaging technology to better serve self-guided travelers. For outbound tours, customers remain focused on destination coverage and the product variety. Many of our Niu Tour customers are experienced travelers who are not taking their first trip abroad. To better serve this segment, we have introduced more in-depth, single destination tour products. Additionally, we have expanded our offerings to include new destinations, such as South Africa and the polar regions. For our in-house products, Niu Tour have built a large loyal customer base with a repurchase rate twice that our regular products. In 2024, transaction volume for Niu Tour products grew by over 30% year-over-year. Niu Tour has earned us customers' favor and trust by delivering exceptional experience, and we are committed to provide even higher-quality products to the customers. Last year, Niu Tour fully implemented a zero shopping policy, significantly enhancing the travel experience. This year, we will introduce more premium products including customized travel itineraries tailored to customer preferences. In addition, with the growing popularity of travel from lower-tier cities and the rise of checklist-style travel among younger generations, we launched the in-house Niu Select products in the third quarter last year. In 2024, transaction volume from cities outside the Tier 1 cities contributed more than 50% of Tuniu's total transaction volume. Niu Select products have gained significant popularity, especially among first-time travelers to new destinations due to their highly competitive product pricing. This year, we will continue to expand the supply of Niu Select products, particularly outbound tour options, to meet the growing demand for first-time international travel from customers in lower-tier cities. In terms of sales, we have been continuously expanding the diversity of our sales channels as information is increasingly consumed via video content as opposed to text and images. User habits are also changing. Browsing live streams and short videos has become an essential part of daily life. In 2024, we made a significant progress in this area. We expanded the variety of live streaming products and destination coverage, introducing more organized tours and outbound travel products. We also adjusted the product structure seasonally to meet the diverse needs of our customers. In addition, we explored new approaches in our core organized tours business by experimenting with live streaming directly from travel destinations, which received a positive feedback. In 2024, our live streaming channels performed exceptionally well with both transactions and verification volume increasing by over 100% year-over-year, while the verification rate continued to improve. This year, we continue -- we will continue to leverage our experience and capabilities in live streaming to further explore new media channels. We also made significant progress in expanding our off-line and external channels in 2024. The transaction volume of our off-line stores grew by over 50% year-over-year. These stores have attracted partners with their diverse product offerings, advanced system and promotion policies. At the same time, our off-line stores have also helped increase the sales of our in-house brands and contributed to brand promotions. This year, we will continue to open more off-line stores, working closely with partners to provide customers with more personalized premium services. In our collaborations with traffic platforms, we attracted customers through a streamlined booking process and a high-quality service experience. By collaborating with external partners, we are able to provide our resources and high-quality services to a broader customer base. For external channels, we will continue to embrace an open and collaborative approach, striving for win-win outcomes with all partners. Finally, regarding technology. We see great potential and opportunities in the combination of large language model agents with tourism. We will catch the opportunities and invest in R&D to improve our internal efficiency as well as user experience, enhancing our conversion rate and repurchase rate. Our goal is to provide customers with better solutions and prepare proactively for the evolving market landscape. In summary, 2025 will bring more opportunities and challenges in travel market. This year, we will focus on product and service upgrades, channel expansion and technological advancement. We will remain resilient amidst change, seizing opportunities and achieving high-quality business development. In addition, we will leverage new technologies to further improve internal operational efficiency, reduce costs and achieve sustainable development and profitability goals. I will now turn the call over to Anqiang, our Financial Controller, for the financial highlights.
Anqiang Chen: Thank you, Donald. Hello, everyone. Now I will walk you through our fourth quarter and fiscal year 2024 financial results in greater detail. Please note that all the monetary amounts are in RMB unless otherwise stated. You can find the U.S. dollar equivalents of the numbers in our earnings release. For the fourth quarter of 2024, net revenues were RMB102.7 million, representing a year-over-year increase of 3% from the corresponding period in 2023. Revenues from packaged tours were up 3% year-over-year to RMB75.4 million and accounted for 73% of our total net revenues for the quarter. The increase was primarily due to the growth of organized tours. Other revenues were up 3% year-over-year to RMB27.3 million and accounted for 27% of our total net revenue. The increase was primarily due to the increase in the fees for advertising services provided for tourism boards and bureaus. Gross profit for the fourth quarter of 2024 was RMB69.8 million, down 6% year-over-year. Operating expenses for the fourth quarter of 2024 were RMB82.5 million, down 58% year-over-year. Research and product development expenses for the fourth quarter of 2024 were RMB13.3 million, up 28% year-over-year. The increase was primarily due to the increase in research and product development personnel-related expenses. Sales and marketing expenses for the fourth quarter of 2024 were RMB 42.7 million, up 28% year-over-year. The increase was primarily due to the increase in sales and marketing personnel-related expenses and promotion expenses. General and administrative expenses for the fourth quarter of 2024 were RMB26.8 million, down 36% year-over-year. The decrease was primarily due to the decrease in general and administrative personnel-related expenses. Net loss attributable to ordinary shareholders of Tuniu Corporation was RMB24.2 million in the fourth quarter of 2024. Non-GAAP net loss attributable to ordinary shareholders of Tuniu Corporation, which excluded share-based compensation expenses, amortization of acquired intangible assets and impairment of property and equipment net was RMB6.4 million in the fourth quarter of 2024. As of December 31, 2024, the company had cash and cash equivalents, restricted cash, short-term investments and long-term time deposits of RMB1.3 billion. Capital expenditures for the fourth quarter of 2024 were RMB1.2 million. Now moving to full-year 2024 results. In 2024, net revenues were RMB513.6 million, representing a 16% year-over-year increase. Revenues from packaged tours are up 22% year-over-year to RMB407.5 million and accounted for 79% of our total net revenues in 2024. The increase was primarily due to the growth of organized tours. Other revenues were down 2% year-over-year to RMB106.2 million and accounted for 21% of our total net revenues in 2024. The decrease was primarily due to the decrease in revenues generated from financial services. Gross profit were RMB358 million in 2024, up 22% year-over-year. Operating expenses were RMB294.8 million in 2024, down 25% year-over-year. Research and product development expenses were RMB52.7 million in 2024, down 8% year-over-year. The decrease was primarily due to the decrease in research and product development personnel-related expenses. Sales and marketing expenses were RMB180.3 million in 2024, up 53% year-over-year. The increase was primarily due to the increase in promotion expenses. General and administrative expenses were RMB87.7 million in 2024, down 23% year-over-year. The decrease was primarily due to the decrease in general and administrative personnel-related expenses. Net income attributable to ordinary shareholders of Tuniu Corporation was RMB77.2 million in 2024. Non-GAAP net income attributable to ordinary shareholders to Tuniu Corporation, which excluded share-based competition expenses, amortization of acquired intangible assets, net gain on disposals of subsidiaries and the impairment of property and equipment net was RMB80.8 million in 2024. Cash flow generated from operations for 2024 was RMB84 million. Capital expenditures were RMB12 million in 2024. For the first quarter of 2025, the company expects to generate RMB116.6 million to RMB122 million of net revenues, which represents an 8% to 13% increase year-over-year. Please note that this forecast reflects Tuniu's current and preliminary view on the industry and its operations, which is subject to change. Thank you for listening. We are now ready for your questions. Operator?
Operator: Thank you. [Operator Instructions] The first question comes from [Stacy Zhao] (ph) a Private Investor. Please go ahead.
Unidentified Analyst: Hi, management, congratulations on a profitable year. Can you share with us your projections for the 2025 revenue and profit? What are some key drivers to support revenue growth? Are you going to maintain quarterly or yearly profitability? Thank you.
Donald Dunde Yu: Thank you for the questions. In 2025, the total travel market will continue to grow, while the market competition is getting more intense in the form of both quality and price. We will continue to adopt high-quality business development strategy, trying to beat the industry average growth rate. On the product side, we will invest in product upgrading and innovation for our core products. For example, we will introduce more in-depth and single destination tour products for our Niu Tour to better serve and retain our repeat customers. Facing factors such as the intense competition will keep competitive pricing for certain products and the product lines to attract more new customers. Therefore, our gross profit ratio will be negatively impacted this year. On the sales side, we'll continue to expand the diversity of our sales channels. To embrace the changing user habits, we'll expand sales on new media channels. We will leverage our experience and the capabilities in live streaming, expanding to more platforms. Last year, live streaming channel contributed about 10% of our total GMV. For off-line channels, currently, we have over 200 stores nationwide. This year, we'll largely increase the number of off-line stores, maybe double that number. On the technology side, we focus on AI agent. Through combining the power of AI agent with our insights of leisure travel market, we will further enhance our user experience and improve operational efficiency. As for your questions regarding profit, we believe our full year GAAP net income in 2024 has demonstrated Tuniu's ability to be profitable and serve as a meaningful step towards achieving long-term profitability. In 2025, the market is filled with new opportunities and challenges. So we plan to make some investments as mentioned above: in product innovation; sales channel expansion and R&D to further improve user experiences and internal efficiency. With these improvements, we will refine our competitive advantages and consolidate our market position, so as to drive the long-term sustainable growth of Tuniu. Despite our investments, we are still aiming for a profitable year in 2025. Quarterly performance may vary due to the seasonality, and the third quarter is expected to be the season -- the peak season and will contribute the majority of the annual profit. Thank you.
Operator: We are now approaching the end of the conference call. I will now turn the call over to Tuniu's Director of Investor Relations, Mary, for closing remarks.
Mary Chen: Once again, thank you for joining us today. Please don't hesitate to contact us if you have any further questions. Thank you for your continued support, and we look forward to speaking with you in the coming months.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Have a good day.